Desiree: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to the Carpenter Technology Corporation's second quarter fiscal year earnings call. Lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question again, press the star one. I would now like to turn the conference over to John Huyette. You may begin.
John Huyette: Good morning, everyone, and welcome to the Carpenter Technology Corporation Earnings Conference Call for the Fiscal 2026 Second Quarter ended December 31, 2025. This call is also being broadcast over the Internet along with presentation slides. For those of you listening by phone, you may experience a time delay in slide movement. Speakers on the call today are Tony Thene, Chairman and Chief Executive Officer, and Timothy Lain, Senior Vice President and Chief Financial Officer. Statements made by management during this earnings presentation that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Carpenter Technology Corporation's most recent SEC filings, including the company's report on Form 10-Ks for the year ended June 30, 2025, Form 10-Q for the quarter ended September 30, 2025, and the exhibits attached to those filings. Please also note that in the following discussion, unless otherwise noted, when management discusses the sales or revenue, that reference excludes surcharge. When referring to operating margins, that is based on adjusted operating income excluding special items and sales, excluding surcharge. I will now turn the call over to Tony.
Tony Thene: Thank you, John, and good morning to everyone. I will begin on slide four with a review of our safety performance. We ended the 2026 with a total case incident rate of 1.4. We saw improvement over the last quarter. And as a result of the actions in this area, I expect to see continued progress going forward. As always, we remain committed to our ultimate goal, a zero injury workplace. Let's turn to slide five for an overview of our second quarter performance. Second quarter performance continued our earnings momentum and sets us up for a strong second half to fiscal year 2026. Let me highlight the four major takeaways for you. One, record earnings. In the second quarter, we generated $155 million in operating income, exceeding our previous record set in the prior quarter. And it is a 31% increase over our 2025. Another meaningful step up year over year. Our consistent earnings growth continues to be the result of our solid execution, strong market position, and unique capacity and capabilities. Two, expanding operating margins. The SAO segment continued to expand margins, reaching an adjusted operating margin of 33.1% in the quarter. This margin compares to 28.3% a year ago and 32% the prior quarter. Keep in mind that there are lots of factors that impact what our operating margins can be in any given quarter. Most notably the mix of our products. So going forward, we may see some quarters that are flat or slightly lower but their overall trajectory is anticipated to continue upwards. With that being said, our current outlook calls for increasing SAO margins over the next two quarters of fiscal year 2026. As in the past, the positive trend will continue to be driven by increased productivity, product mix optimization, and pricing actions. As a result of the expanding margins, the SAO segment recorded $174.6 million in operating income. An increase of 29% year over year and another all-time record for the segment. Three, strengthening market demand. Especially in the aerospace and defense end-use market. As we continue to see strengthening demand signals in terms of OEM production and order intake rates. Our customers are keenly aware of these demand signals. And are positioning themselves accordingly. In the quarter, bookings for the aerospace and defense end-use market increased 8% sequentially. However, it is important to note that defense submarket orders were down materially in the quarter. Due to the government shutdown and uncertainty in terms of the defense budget. Most importantly, commercial aerospace bookings were up 23% sequentially. This is the fourth consecutive quarter of sequential order intake increases for the aerospace and defense end-use market. Seeing such strong bookings in a quarter that's usually quieter due to the holidays, is a good indication of the accelerating demand for our materials. And four, pricing continues to be a tailwind. Given the strong demand outlook, our customers continue to be focused on securing their supply and our pricing continues to increase. As evidence of this, we completed three additional long-term agreements with aerospace customers with significant price increases during the quarter. These long-term agreements represent good value for us and our customers. As they look to secure their material needs going forward. Let's turn to Slide six to have a closer look at second quarter sales and market dynamics. In the 2026, our total sales, excluding raw material surcharge, were up 8% over the 2025 and down 2% sequentially. Net sales were as we expected and the result of multiple factors, including available operating days, and customer closure schedules. Items which we see at every calendar year end which I noted in last quarter's earnings call. As we enter our third quarter, these factors are not in play, and we expect a sequential increase in net sales. Let me briefly review some of the key markets. Starting with aerospace and defense. Sales in the aerospace and defense end-use market were down 1% sequentially and up 15% year over year. While down modestly on a sequential basis the aerospace and defense end-use market net sales represented our second best quarter on record. And activity with our aerospace and defense customers continues to increase. I will mention two important data points from the aerospace engine and structural submarkets. Order intake in the quarter for our aerospace engine materials was up 30% sequentially. Signaling continued growing strength in demand. And very importantly, our aerospace structural customers are moving off the sidelines, and ramping up order placement. Many of them recently placed their first large orders with us in several quarters. And are already preparing the next round of orders. Which they anticipate being larger and even more urgent. Moving on to the medical end-use market, Our sales were down 7% sequentially and 22% compared to the prior year second quarter. The decrease is isolated to certain titanium products for a specific set of medical distribution customers. And all within our PEP segment. Clearly, this has impacted the earnings of the much smaller PEP segment. But the impact is not material to total Carpenter Technology Corporation results and not material to our overall earnings outlook or our ability to deliver on such outlook. Outside of these distribution customers for Titanium, we do see bright spots in other areas of the medical end-use market. There's to our orthopedic and dental submarkets remain strong. Both near an all-time record. Our advanced solutions, are ultimately used to support improved patient outcomes and are critical to trends like minimally invasive surgery, metal sensitivities, and robotics. Remain highly valued by our customers. Shifting to the energy end-use market, Sales were down 10% sequentially and up 19% year over year. As I've said many times, sales in the power generation submarket will fluctuate quarter to quarter, due to the frequency of orders and our practice of strategically slotting them into our production process. Power generation demand continues to accelerate. Driven primarily by the immense energy needs of data centers. We remain in close coordination with the power generation customers, across multiple platform types and OEMs. To plan for their future material needs. Altogether, we are operating in a strengthening demand environment across the high-value end-use markets that we believe will drive meaningful growth in both the near term and long term. Now I will turn it over to Tim for the financial summary.
Timothy Lain: Thanks, Tony. Morning, everyone. I'll start in the income statement summary. Starting at the top, sales excluding surcharge increased 8% year over year on 5% higher volume. Sequentially, sales were down 2% on 4% higher volume. The improving productivity, product mix and pricing are evident in our gross profit, which increased to $218.3 million in the current quarter up slightly sequentially and up 23% from the same quarter last year. Selling, general and administrative, or SG&A, expenses were $63.1 million in the second quarter, flat sequentially and up $4.5 million from the same quarter last year. The SG&A line includes corporate costs, were $26.2 million. This is flat sequentially and up $2.6 million from the 2025. For the upcoming 2026, we expect corporate costs to be about $25 million. Operating income was $155.2 million in the current quarter, which is 31% higher than our 2025. And up slightly from our recent first quarter. As Tony mentioned earlier, this represents another record quarterly operating income result. Breaking the previous record that last quarter. Moving on to our effective tax rate, which was 19% in the current quarter. This quarter's effective tax rate was lower than anticipated primarily due to discrete tax benefits associated with the exercise of certain equity awards in the current quarter. For the balance of the fiscal year, we expect the effective tax rate to be between 22% to 23%. For the full fiscal year 2026 the effective tax rate is expected to be on the low end of the full year guidance we previously provided, of 21% to 23%. Finally, the adjusted earnings per diluted share was $2.33 for the quarter. The adjusted earnings per share excludes the impact of the debt refinancing we completed in the quarter, I'll talk about that shortly. Now turning to more detail on each of the segments, starting with our SAO results. Net sales, excluding surcharge for the second quarter, were $527.3 million. Compared to the same quarter last year, sales were up 10% on 5% higher volume reflecting the impact of product mix optimization, and pricing actions. Sequentially, sales were down 1% on 5% higher volume. We recognize there is a significant focus externally on our reported sales and volume each quarter, and ultimately, the selling price per pound of our products. Particularly in our SAO segment as an indicator of pricing changes. As we've stated before, the selling price per pound in any given quarter is highly dependent on the mix of products that we ship in any one quarter. As we saw this quarter, our product mix was influenced by the planned maintenance activities and holidays. As a result and as expected given these dynamics, our reported net sales excluding surcharge per pound were down slightly sequentially and up year over year. Most importantly, SAO's adjusted operating margin continued to increase and, in fact, hit record levels. Reaching 33.1% in adjusted operating margin. This marks the sixteenth consecutive quarter of margin expansion. As a result, SAO reported operating income of $174.6 million in the second quarter, a new all-time high for the segment. In addition to mix and price benefits, the record performance reflects the SEO team's ability to actively manage our production schedules. Increase productivity at key work centers, manage costs, execute thoughtful planned maintenance activities, Looking ahead to our 2026, we anticipate SAO will generate operating income in the range of $105 million to $200 million. This implies a healthy 12% to 15% increase from SEO's second quarter record results. Now turning to Slide 10 and our PEP segment results. Net sales, excluding surcharge in the 2026, were $77.2 million, down 11% sequentially and down 10% from the same quarter a year ago. As Tony mentioned earlier, the decline was primarily driven by titanium sales, which were heavily impacted by lower demand from specific medical customers. As a result, PEP reported an operating income of $900,000 in the current quarter, compared with $9.4 million in the 2026 and $7 million in the same quarter a year ago. The year over year improvement in operating margin reflects increasing sales in our additive business driven by demand. As well as the cost benefits of actions we took last year to reduce structural costs in this business. We currently anticipate the PEP segment's operating income for the upcoming third quarter to be in line with the 2026. Before we move to cash flow, I just wanted to pull together the pieces that make up our outlook for operating income for the 2026. We anticipate total operating income of $177 million to $182 million. This includes SAO at $195 million to $200 million, PEP at roughly $7 million, and corporate costs of $25 million. Now turning to the next slide to talk about our cash generation and capital allocation priorities. In the current quarter, we generated $132.2 million of cash from operating activities, and spent $46.3 million on capital expenditures which resulted in adjusted free cash flow of $85.9 million. As I mentioned last quarter, we expect capital spending will accelerate in the 2026. As construction activities related to the brownfield capacity expansion project broaden equipment delivery and installation begins in earnest. As we look ahead, we expect to generate at least $280 million of adjusted free cash flow in fiscal year 2026. Our free cash flow generation is important as it enables us to deploy a balanced capital allocation. As we've discussed before, our primary focus areas for capital deployment are investing cash in attractive and accretive growth projects, and returning cash to shareholders. In that regard, we continue to execute against our share repurchase authorization and repurchased $32.1 million of shares in the current quarter. This brings the total to $183.1 million spent to date against the $400 million authorization that we announced in July 2024. In addition to the buyback program, we also continue to fund a recurring and long-standing quarterly dividend. That brings us to investing in growth. As noted, the brownfield expansion project construction activities are ongoing and rapidly progressing. The project is currently on budget and on schedule. Finally, our ability to deploy capital is also supported by our healthy liquidity and strong balance sheet. In the current quarter, we took actions to strengthen both our balance sheet and liquidity. Namely, we completed the refinancing of our long-term debt to extend the maturity of our notes to 2034 while reducing the interest rate. In addition, amended and restated our revolving credit facility primarily to increase our credit facility from $350 million to $500 million and extended the term to twenty third. As of the most recent quarter end, our total liquidity was $730.8 million including $231.9 million of cash, and $498.9 million of available borrowings under our credit facility. Our credit metrics remain very strong. With our net debt to EBITDA ratio remaining well below one times. Altogether, we believe our strong balance sheet and outlook for significant cash generation positions us well to fund continued growth and deliver significant shareholder returns. With that, I will turn the call back to Tony.
Tony Thene: Thanks, Tim. Each quarter, important themes emerge that become the focus of attention in the investment community. As I did last quarter, I will address them in detail to make sure Carpenter Technology Corporation's position is clear. First, the ongoing discussion concerning the strength and acceleration of the aerospace demand environment. With a focus on current and anticipated build rates. On last quarter's earnings call, I spent a lot of time providing details of positive momentum the aerospace demand environment. Without repeating everything, I will just state again that the aerospace market is in the midst of one of the largest build ramps ever. To meet the unprecedented demand projections. Let me provide a couple new positive data points that have appeared over the last quarter. Notably, Boeing achieved the milestone of building forty-two 737s in the month of December. On their earnings call earlier this week, Boeing reaffirmed their intention to increase build rates in calendar year 2026. And most notably, they emphasized that builds would be increasing much higher than deliveries. Given that finished plane inventory has now been depleted and their intent to build some 737 ahead of delivery in 2027. While citing an expected 10% increase in deliveries, Boeing noted that build activity would have to increase much more to account for the factors I just mentioned. In light of this, our aerospace customers can to report increasing demand in the supply chain, to support the build rate ramp. This, in turn, is accelerating confidence in the aerospace outlook across each of our submarkets. Our aerospace engine customers are full steam ahead. The engine OEMs are asking us whether the supply chain has ordered enough material to support part builds. And our direct customers are focused on getting orders placed against, in many cases, recently signed long-term agreements. Importantly, and as I mentioned previously, we continue to see meaningful sequential increases in order intake for our aerospace engine materials. Up 30% sequentially. I will also repeat my statement from earlier that our aerospace structural customers are moving off the sidelines and ramping up order placement. This is an aerospace submarket that has been lagging to others and the recent placement of their first large orders with us in several quarters is an encouraging sign of strengthening confidence in the aerospace ramp. We are also working closely with our aerospace fastener customers to ensure they get the materials needed as they are projecting big increases for calendar year 2026. Altogether, we are clearly in the midst of an acceleration of aerospace demand. Our sophisticated customers understand the accelerating demand dynamic. And we continue to work with them to ensure they have their orders in place so they are not last in line. Our customers also understand that nickel-based superalloys will be in short supply with only a few qualified producers globally. That point leads to the second topic to discuss, nickel-based superalloy industry supply. This could be a difficult topic to understand and to quantify, as there are numerous complex nickel-based superalloys that are supplied into aerospace engines and other critical areas of the aircraft such as landing gear, avionics, and structural. Before I address supply, it is important to understand the demand projections for nickel-based superalloys into the aerospace supply chain. As we have detailed in our investor event about a year ago, the aerospace industry is targeting build rates of 2,100 plus airplanes per 30% higher than the pre-COVID high calendar year 2019 when the industry was effectively sold out of nickel-based superalloys. But aerospace OEM demand is not the only area that competes for scarce nickel-based superalloys. As the installed fleet of planes continues to grow and ages, MRO demand is projected to be at significantly higher levels going forward versus today. Defense demand is increasing rapidly. Driven by the increased number of platforms and by the need of even more advanced capabilities. Both of which mean higher demand for specialty material solutions. Demand for specialty materials used in space has also been increasing. With one driver being that the number of commercial satellite launches continues to increase. As the space economy grows. And lastly, power generation demand is increasing substantially. This has been widely discussed. With news articles on this topic nearly weekly. And it is driven by the need for power to support their growing data center build out as well as increasing needs from developing economies. It's important to include the power generation demand in this discussion because in many cases, it competes for time on the same assets used to produce aerospace nickel-based superalloys. Taking into consideration increasing demand from several areas, it becomes clear that macro trends support accelerating explosion of demand for nickel-based superalloys. Now let's address the supply of these alloys. Since the pre-COVID year of 2019, there has been no meaningful increases in overall qualified nickel-based superalloy supply. Other than from internal productivity improvements from the current suppliers. Since that time, Carpenter Technology Corporation has been the only company to formally announce any investment in capacity expansion in this specific area. As we did recently at our February 2025 investor update. For those who are unfamiliar, we are investing in a brownfield capacity expansion focused on primary mill. Specifically a new vacuum induction melting furnace which is a critical piece of equipment in the manufacturing process of high purity specialty alloys. In total, this project plans to add 9,000 additional tons roughly a 7% increase over our 2019 shipments. While this is meaningful to the financials of Carpenter Technology Corporation, it is not a meaningful increase for the industry. Remember, Carpenter Technology Corporation is one of three players participating in the high-end nickel-based alloy market. And we are only adding a modest 7% additional capacity versus our 2019 shipment levels only. Taking into consideration the significant projected increase aerospace OEM builds, combined with the projected demand increases for aerospace MRO, defense, space, and power generation applications our capacity increase may account for only a small single-digit percentage of the total projected supply-demand deficit. Of course, there could be other incremental capacity announcements on the horizon, given the demand environment. But they too will likely be minimal in terms of their impact on closing the projected gap in supply. Keep in mind, this type of capacity is highly specialized difficult to operate, costly, and takes significant time to build install, develop, and qualify. It is this persistent supply-demand gap that is driving the current pricing environment particularly in the nickel-based superalloy market and we don't see that changing materially. This leads to the third topic, nickel-based superalloy pricing. Similar to the aerospace demand environment topic, I also spent a lot of time providing details of our pricing and customer contractual arrangements on last quarter's earnings call. Again, all of that commentary still holds true. I will note again to support our view of the pricing dynamic for our materials, that in the quarter we completed negotiations on three long-term agreements with aerospace customers with significant price increases. It is also important to note that in turn, our customers also benefit greatly as they are getting surety of supply of our products. Which is highly valuable to them in an extraordinarily high demand environment. Final point on this topic. We have communicated publicly many times and state again today that we believe pricing actions will continue to be a positive tailwind into the future due to the supply-demand imbalance that exists today and is expected to intensify in the future for nickel-based superalloys. Lastly, we continue to receive questions about our confidence in our earnings guidance. As you have come to understand, our earnings guidance philosophy is very structured and well thought out. We believe in establishing challenging targets we have line of sight to achieving. With disciplined action plans in place. We have earned the reputation of achieving exceeding our targets. At the start of fiscal year 2026, we projected operating income for the current fiscal year of $660 million to $700 million. Given the supply-demand dynamics I just covered, and the visibility, have for the second half of the fiscal year 2026 we are raising our guidance to $680 million to $700 million. This range for fiscal year 2026 represents a 30% to 33% increase over our record fiscal year 2025 earnings. As you recall, we established fiscal year 2027 guidance of $765 million to $800 million almost a year ago. In February 2025. At that time, we stated our belief that the targets for fiscal year 2026 and 2027 were the highest earnings growth trajectory among our industry peers. And we still believe that to be true. However, let me be clear. As this aerospace market continues to accelerate, our focus is not on achieving fiscal year 2027 guidance. The focus is on exceeding that target. As we continue to fine-tune our outlook, I would expect in the next few quarters, we will be updating the fiscal year 2027 guidance as well as adding longer-term annual guidance. Now let's turn to the final slide, to summarize this great story. Let me close as I did last quarter with why I thank Carpenter Technology Corporation is a compelling story for existing and potential shareholders. Let's take a look at the three major areas most important to shareholders. One, we have an enviable market position in the industry. We are in the midst of a significant acceleration in demand. Especially in the aerospace and defense end-use market. With accelerating build rates driving higher demand for our materials, a fundamental supply-demand imbalance in nickel-based superalloys will tighten even further. Our world-class collection of unique manufacturing assets and related capabilities are difficult, if not impossible, to replicate. Our leading capacity and capabilities are further differentiated by stringent qualifications necessary to supply advanced materials for aerospace and defense and other key end-use market applications. Two, we are committed to a balanced capital allocation approach. We have a healthy liquidity position and a strong balance sheet. Combined with an impressive free cash flow generation outlook. We are focused on returning cash to shareholders via a long-standing dividend and a robust share repurchase plan. In addition, our strong performance enables us to invest in highly accretive growth projects. Like our recently announced brownfield expansion. That accelerates earnings growth but will not materially impact nickel-based supply-demand imbalance. And three, we have delivered impressive financial results with a strong earnings outlook. We have just completed another record quarter of profitability, driven by significant margin expansion our SAO segment. Our increased guidance for fiscal year 2026 implies a 30% to 33% increase over a record fiscal year 2025. And we are well on our way to achieving and even surpassing the earnings target for fiscal year 2027. I don't know if anyone in our industry who can say they have a stronger earnings outlook than Carpenter Technology Corporation. Of course, fiscal year 2027 is not expected to be our peak. We have plans and line of sight to further earnings growth beyond 2027. In summary, we believe Carpenter Technology Corporation checks every important shareholder criteria box. We have created significant shareholder value to date but we are only at the beginning of this growth journey. The best is still to come. As always, we remain focused on supporting our customer needs operational execution, and living our values as we drive to exceptional near-term and long-term performance. Thank you for your attention. I will now turn the call back to the operator.
Desiree: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad to raise your hand and join the queue. If you are called upon to ask your question and are listening via speakerphone in your device, Please pick up your handset to ensure that your phone is not on mute when asking your question. Again, press 1 to join the queue. Our first question comes from the line of Gautam Khanna with TD Cowen. Your line is open.
Gautam Khanna: Yes, thanks. Good morning, guys. I was wondering Tony, if you could elaborate on how broad-based you're starting to see the airframe customers participate in ordering. And is this kind of Boeing specific stuff where you were previously experienced a bit of a destock post the strike? Over at Boeing.
Tony Thene: Hey. Good morning, Gautam. Hope you're doing well. Yes. I think two really important points that I made in the prepared remarks. I will say at a high level across all of our aerospace submarkets, whether that be engine fastener, structural, we're seeing increased activity with, you know, increasing forward demand. Specifically, though, in this quarter, the two things that stood out the most or or that you had engine orders continue to increase sequentially. 30% this quarter. That's significant. Maybe you could argue even more significant is what our structural customers did in the quarter. And you rightly said, Gautam, the impact of Boeing really put them on the sidelines. Prior to those issues, they had been probably the top submarket in terms of ordering quantity. So they they had a lot of inventory. To see them now come off the sidelines and two things, not only one place some significant orders, but then immediately come back to us and say, there's more coming. And they're gonna be bigger and more urgent that's a big positive sign. And I would agree with you that least on the structural side, that that was primarily driven by the confidence in Boeing, not just in what they believe they can do, but what they've actually you know, achieved in this last month.
Gautam Khanna: Okay. That's very helpful. And you mentioned the defense submarket saw a bit of a government shutdown impact. Do you have any visibility from customer customers in that submarket as to how they expect to kind of put in orders over the next couple quarters?
Tony Thene: Yeah. We've already seen that come back. I mean, quite frankly, they would have liked to have been placing orders during that time but weren't able to do so, weren't allowed to do so because of the government shutdown. So you've got some pent up you know, order demand there. So we see that coming back very rapidly.
Gautam Khanna: Okay. And last one for me just on you mentioned the mix in the quarter itself. So the basic message, I think, is that overall pricing saw no reduction. This is purely a mixed dynamic pricing still trending, as you've said, for the last couple of years. Higher. For longer. Is that right?
Tony Thene: Well, it's a 100% right. Maybe if you allow me to to speak more about this. This is something that we've talked about a lot. In fact, we signaled this on the last call where we said based on some of the planned maintenance that that we're going to do testing equipment at the back end. That allow the the higher priced aerospace needs to go through. That that would impact that. Alright? So I've talked about that quite a bit. And I think that if there's some belief that a small sequential price decline, which we've said could happen, multiple times, is somehow a red flag. I don't think it can be any more wrong than that. I mean, we just talked about it, Gautam. Aerospace only bookings up 23%. Aerospace engine bookings up 30%. Just completed three aerospace engine LTAs at substantial price increases. I can tell you very clearly, we are not or we did not discount premium airspace products in the quarter. There's absolutely no reason to do so. And and I've repeated this many, many times. And we said it probably several times over the last year. That we see pricing actions continue to be a positive tailwind. For us going forward. And I and I would just say, quite frankly, this should be obvious. Due to the supply demand imbalance that exists today. And that's only expected to intensify. So there is no issue with what happened in this in this quarter in terms of a slight you know, price per pound decrease, and you'll see that continuing to go up. Over the next several quarters. Hopefully, that's helpful.
Gautam Khanna: Very much, though. Thank you, Tony.
Tony Thene: Thank you, sir.
Desiree: Our next question comes from the line of Scott Deuschle with Deutsche Bank.
Scott Deuschle: Hey, good morning. Tony, I'm gonna I'm gonna take a shot at a question. I'm not sure if you'll be able answer. But for the aerospace LTAs that have renewed over the last six months, can you say whether the average price increase is more or less than 30%?
Tony Thene: Scott, I think you already know the answer to that. I mean, these are substantial price increases going forward. 30% is not substantial.
Scott Deuschle: And these are post-COVID LTAs?
Tony Thene: There are there have been one or two that that are longer, you know, that that that were signed prior to COVID, but per primarily, these are ones that are that have come due again since that time. Yes.
Scott Deuschle: Okay. And 30% is not substantial for this?
Tony Thene: I agree with you.
Scott Deuschle: Okay. Tony, just to deliver this strong SAO guide for the third quarter, should we expect volume, price per pound and EBIT per pound to all move up sequentially?
Tony Thene: Yeah. You know, Scott, I I would say yes to that. I don't manage at that level of detail. Like, I know I am sitting on a gold mine here. Right? Doing something that very few people in the world can do. So I'm gonna supply all of those customers to the best of our ability to maximize the profitability. If one quarter, my margin goes down a half a percentage point, Scott, That that's not an issue. Right? The overall trajectory is going forward. And I think we get very hung up with this fact of quarter over quarter, you have some of these small movements basically, because you've got a complex production system that that's making a thousand different types of alloys. In any one quarter. Right? So I I wouldn't get so hung up on slight movements to that. Quarter over quarter. I will say year over year, absolutely. You will see increases in price per pound and and earnings per pound. There is no doubt. It's impossible for us not to deliver that based on the overall market dynamics going forward. Does that make sense?
Scott Deuschle: Okay. Thank you. Absolutely. And just last question. The medical channel, is there any real sizable revenue left in that channel that you're shipping this past quarter? Or I'm just trying to think, is there still downward pressure potential there? Or is it basically completely bottomed out and and near zero?
Tony Thene: Well, I can tell you that the good news in January from a booking standpoint that we solve that specific area come back and have the highest order intake than it had of any month in 2025. So that would suggest that I agree that, yes, you're right that it's probably hit the bottom. And I think the big piece here is that's very impactful to the PEP segment. As you all know, Scott, you cover us very closely. It's not material to overall Carpenter, and and it doesn't impact what I say about my guidance whatsoever. I I wanna see that bounce up, and I think when it But it's not something I rely on to when it does here in the next couple quarters, it'll be a tailwind for us. to hit my guidance numbers. Thank you.
Scott Deuschle: Thank you.
Desiree: Next question. Comes from the line of Joshua Sullivan with Jones Trading. Your line is open.
Joshua Sullivan: Hey. Good morning. Good morning, Josh. Tony, you made an interesting comment there. You said jet engine OEMs are asking you if their own supply chains have ordered enough materials to to meet projected build rates. was your answer? You kinda left us on a cliffhanger there. You know, we'll Guess, how is the how are those conversations translating to the expectations of their suppliers?
Tony Thene: Well, I mean, the answer can be different depending on the customer I would say that in many cases, our answer to that is no. They're not ordering quick enough. There needs to be more orders in the system based on the demand that that or the build rate that you want to achieve. So I would say and that's a positive thing for me to say is that there needs to be more orders to hit this build rate projection that's out there. We just talked about specifically on the structural side There hesitation to place orders and wanting to see more and more evidence of prolonged performance from the airframers, specifically Boeing. You're starting to see that. So you see them now coming off the sidelines. I've said that phrase several times now. And placing more large orders. So I've talked about this, Scott, more than once about there is not going to be a gradual increase in orders. You're seeing it now, and then you're gonna see a significant hockey stick. That's the way it's happened in the past. Believe that's the way it'll happen again this time. And I think the structural customers with the activity they had in this last quarter is one of the leading indicators to that.
Joshua Sullivan: Got it. And, actually, that that dovetails nicely into just the conversation on the long-term agreements you highlighted. You know, what's your calculus or your mindset on, you know, committing to those versus leaving spot capacity open as you've talked about in the past? I got the golden goose. Just curious on your thoughts there.
Tony Thene: Well, I don't I mean, that's another you know this. I mean, the words matter to me. Don't have spot pricing. Right? I don't have I don't have a generic alloy sitting on the shelf waiting for the highest bidder to come get. Right? relationship with my customers. My LTAs are based on a mutual beneficial You have a lot of volume. I'm gonna give you surety of supply. So I'm not here trying to be the riverboat gambler trying to say, let's keep it all you know, speculative. That's not what I'm trying to do. But I do understand the value of my product. As do my customers. When there's that beneficial relationship to say, let's enter into a an LTA, with increasing prices. That's that's good for both of us. So I think, Josh, you know this. I'm not sitting on the sidelines waiting for somebody to bid on my my products. I'm I'm pretty sure that's not what you were trying to allude to anyway.
Joshua Sullivan: No. Was just curious on the long term. And and and I guess just relatedly, just outside of aerospace, are you seeing more interest in those types of relationships as you talk about IGT and some of those other markets? Are you seeing similar levels of interest, so the capacity might not be there. Okay.
Tony Thene: Absolutely. Primarily on the power generation side. Because as you well know, in many cases, they use the same assets. But we also see some of that on the medical side as well. Primarily on the FAO business. You know? Because there's times that there can be overlap on some of the production assets between some of those, alloys. So you see more interest in those specific alloys for medical customers. Because in many cases, we're the sole supplier. And have a proprietary alloy there. So in both nondistribution medical and especially in power generation, we see some of the same dynamics as far as the openness or the willingness or wanting to have a LTA with us in those areas.
Joshua Sullivan: Great. Thank you for the time.
Tony Thene: Thank you.
Desiree: Next question comes from the line of Bennett Moore with JPMorgan. Your line is open.
Bennett Moore: Good morning, Tony and Tim. Congrats on yet another impressive quarter. Yep. Thank you. Quick. I wanted to you know, thank you for all the color, and commentary on the bookings. But could you also comment on how engine and fastener sales trended during the quarter and year over year? And also what lead times look like for structural products relative to engine alloys?
Tony Thene: Yeah. It's a good question. You know, our overall aerospace, you saw our sales were relatively flat quarter over quarter, basically, because of the number of operating days you've you've written about this. As well as the holidays. So aerospace engine sales are relatively flat, down a couple percent. Engine fasteners was flat, I think, up 1%. So all of the submarkets inside of aerospace were you know, plus or minus one or two. On a sequential basis, certainly on a year over year basis all of them up. Quite substantially as you would expect. The second part of your question was on lead times. You're also very well aware, you know, that lead times isn't a universal indicator of of demand increasing just because we limit we cap lead times. But I can say that in that in that area, you have seen them extend across all the areas inside of aerospace. And I think, you know, we'll be pushing right back up to that same level that we were before in a in very short order. But, yes, we did see some we did see expansion of of lead times.
Bennett Moore: And I guess in the context of your you know, positive commentary around structural customers moving off the sidelines, is it just fair to assume that lead times generally for the structural alloys are you know, shorter than the engine alloys so we could see that benefit sooner?
Tony Thene: Yes. I think in general, that is a true statement.
Bennett Moore: Great. And then real quick, I I just wanted to ask the additive business and you showed strong growth during the quarter. Is this lumpy or are you seeing improved adoption in this space and you remind us how the margin profile compares for these products? And if this is a space Carpenter would look to grow into into the future?
Tony Thene: Yeah. I think the second part of your question is the right way to look at We see it as something that that could be a tailwind from us for us in the future. We've been inside the additive business for quite some time. This is a higher adoption rate And it's been, you know, some increased activity with some very large customers that we bring proprietary alloy in that in that area. So it's still relatively small in the whole scheme of things. Bennett. But, yes, I think it's something we wanna stay in. And I think going forward, we'll see continued growth in that area. So I'm very happy, quite frankly. The performance of additive. Again, relatively small from an earnings standpoint, but very happy with the way they've been performing. Over the last couple of quarters.
Bennett Moore: Great. Tony, team, thank you for all the comments. Best of luck.
Tony Thene: Thank you, sir.
Desiree: Next question comes from the line of Andre Madrid with BTIG. Your line is open.
Andre Madrid: Hey. Good morning.
Tony Thene: Good morning, sir. As, as we look at the LTA signed in the quarter, I mean, are any of these first-time customers? On an LTA basis? And, I mean, how should we expect the mix of LTAs to trend in the quarters and years to come?
Tony Thene: Well, it's gonna be it there's not a there's not a trend. There are they're all at at different times. It seems like we're always working on on some type of LTA and and let's take it to the first part of your question. These were these are long over term. Customers, so not not new.
Andre Madrid: Got it. Got it. And then we've been hearing a lot of chatter from recent conversations with customers about, you know, potentially exploring capacity expansion that they help fund. I mean, is that something that you guys would ever look into?
Tony Thene: Maybe if something became more than just chatter that that I could that I could comment on that. So we we have already made our position known. We have gone out there and announced capacity expansion in a very professional manner. We told you exactly what the pounds will be. We've told you when it will come online. We've told you exactly what the equipment will be and we've told you exactly what the impact will be not only to Carpenter Technology Corporation financials, but the overall supply-demand dynamic. So we've been very very clear and professional on what that would be. So we've told you already how we would react, and we were able and willing to fund that a 100% ourselves.
Andre Madrid: Got it. Got it. That's clear. And then if I could sneak one more in. I mean, can you just maybe break down a little more clearly where the orders are exactly coming from? I mean, jet engine versus airframe, OEM versus MRO. Like, is there a split that you can provide?
Tony Thene: Well, I mean, we're having orders are up across the board. I mean, I I give you a couple of examples. Engines were up 30%. That's significant. Right? So, I mean, we have order intake increasing across all of the submarkets. The one I called out, you know, is from from a sales standpoint. You obviously saw a bit of a a dip in defense. A sales standpoint, but now you see orders you know, I think will start picking back up again. So know, we have order intake increase across all of that. Markets. And, again, you know, Andre, that shouldn't be a surprise. Look what you have out there. Look what look what Boeing and Airbus and MRO and what all that is doing. That's increasing significantly. Of course, orders are going to have to increase also.
Andre Madrid: Yeah. No. I I agree completely, and I I see it, though. I appreciate the color, Tony. I'll hop back in. Thanks.
Tony Thene: Alright. Thank you, sir.
Desiree: And our next question comes from the line of Philip Gibbs with KeyBanc Capital Markets. Your line is open.
Philip Gibbs: Hey, good morning. Hey, Phil. Good morning. Tim, can you give us a review of the CapEx this year again just in terms of how much you expect to spend overall and how much of that is going to fiscal twenty seven? the new project and how much carries over into
Timothy Lain: Yeah, Phil. I'll break that into pieces, and then then you can follow-up if you want to. The full year guidance for total CapEx was $300 million to $315 million. That includes the $175 million to $185 million the brownfield capacity expansion. I also said that, you know, given where we are, we spent about a little over $80 million through the first half. We said that we expect brownfield capacity expansion spending to increase pretty rapidly in the second half. As activity ramps up. There's a lot there there's a fair amount of assumptions there. I'm like, look. It's a big capital project complex The timing of those capital expenditures may vary. I mean, we're making assumptions about progress payments, when the equipment gets delivered, payment terms, So we'll we'll we'll provide an update in the next quarter, but I mean, the the guidance out there still holds true for now. And that's incorporated in into our free cash flow guidance.
Philip Gibbs: Thank you. And Tony, any of the LTAs that you signed have they have they been with with PowerGen? Manufacturers at all?
Tony Thene: Well, the three that I mentioned on the call here were all aerospace.
Philip Gibbs: But none of the prior five five, for example, that you mentioned last quarter? Tradition traditionally, that's not been an area that's been LTAs for us, but it's an area I think it was to Josh's question earlier, It's an area that we're now exploring that the customers in that in that submarket would like to enter into an LTA, and that could be something that we're interested in as well. But, traditionally, that has not been for us because of the size. It's been relatively small. To the rest of the the business. It's becoming obviously much much bigger now. And then lastly, know it's a small business for you all.
Philip Gibbs: Relative to s a excuse me, relative to SAO and and PEP, but what what surprised you just just relative to the outcome? Because I know you expected to do better. I know you had mentioned I know you had mentioned outright medical, but usually, you have pretty good visibility within a given Yeah. Given quarter. So
Tony Thene: You mean you're you're you're speaking yeah. You're speaking specifically of that that sub market in of medical.
Philip Gibbs: Oh, I'm just saying in general for the seg segment, you know you expected to to do better a few months ago, and and you usually have Yeah. Very good quarter visibility. So I'm just saying kinda what surprised you.
Tony Thene: Yeah. In the PEP segment. Correct? Yes. Yeah. Yeah. I mean yeah. I Listen. I I think that's a fair question. I think we do usually have pretty good visibility. This one on medical distribution, quite frankly, has been a little elusive. For us to get a handle around that, quite frankly. I think that's a fair comment. But a good point is that you know, the order intake for that specific submarket was the highest in January he had been in any month in 2025. So, Phil, I'm hoping that on that for for the PEP segment that that's hit the bottom. But as you can see with our guidance, we're we're still remaining fairly fairly cautious in that area. And as you said, again, doesn't impact our overall guidance. But it's important to us to to do the best we can as far as forecasting what we think PEP can do as well. So a little bit of a little bit of you know, conservatism maybe or a little bit of let's wait and see to make sure we can get
Philip Gibbs: Thank you so much.
Tony Thene: Yeah. Thanks, Phil.
Desiree: That concludes the question and answer session. I would like to turn the call back over to John Huyette for closing remarks.
John Huyette: Thank you, operator, and thank you, everyone, for joining us today. For our fiscal year 2026 second quarter conference call. Have a great rest of your day.
Desiree: Ladies and gentlemen, that concludes today's call. Thank you all for joining in. You may now disconnect.